Wei Bo: Dear investors, analysts, and media friends, good morning, everyone, I'm Wei Bo. Welcome to 2020 Fosun International’s Annual Results Announcement. First of all, please allow me to introduce our guests and also the management from Fosun. Mr. Guo Guangchang, Chairman from the Fosun International; Executive Director and also Co-Chairman of Fosun International, Mr. Wang Qunbin; Executive Director and Co-CEO of Fosun International, Mr. Chen Qiyu; Executive Director and Co-CEO of Fosun International Mr. Xu Xiaoliang; Executive Director, and Senior Vice President and CFO, Mr. Alex Gong; and Mr. Pan Donghui, CHO of Fosun International.  We are going to have a morning session and an afternoon session today. And in the morning session, our Fosun International management will give you the – will be sharing about our annual results. So, first of all, I would like to give the floor to Alex Gong, our CFO, and he is going to give us the financial information.
Alex Gong: First of all, for both our online and offline analysts I would like to say, good morning and welcome. Thank you for your attention. So, in 2020 last year for Fosun International, this is a very challenging year. As we all know because of the pandemic and for your production, and four your life, and we have seen a lot of impacts. However, in 2020 is also a very good year for us because in terms of upgrading, and readjustment and also for our profound operation and we are also very proud of our results. So next I would like to share with you our financial information. Well in 2020 Fosun total revenue amounted to RMB 136.6 billion, actually down by 6% versus the 2019, primarily due to the COVID-19. And we can also see some highlights. We have seen some growth in some of our business, which offset our losses especially the loss coming from the Fosun and Foliday. And the profit attributable to owners of the parent amounted to RMB 8.02 billion, compared with 2019, more than the RMB 14.8 billion, we haven't seen their job. I think that this is an adjustment one time job. And we can see in terms of the fundamental and we are still in very good operation and in good shape. And we have an RMB 8.15 for our operating profit, versus RMB 11.13 billion in 2019. We have seen some decline, but at the same time, we can also see Fosun International for our balance sheet you can see we have abundant liquidity. And also, we have seen the ongoing decrease in cost of debt and NAV has also improved. And also, in terms of the financing we have RMB 51.3 billion for our open market financing and including overseas syndication loans. And we have very abundant the liquidity of a U.S. dollars. And we have also reduced our cost of debt for the debt denominated in the U.S. dollars. And we also have our cash reserve. So currently we have RMB 106.8 billion for our cash, and bank balances and term deposits. So, you can see it is 12.6% in growth. And also, in terms of average cost of a debt, and also you can see the optimization of the debt, you can see 4.8% for our cost of debt versus 2019, the average cost at that time was more than 5%. And in terms of the NAV, we have also seen the improvement in 2019. And on top of that, we have an increase of 9%. Currently we have HDK 26.09 per share for NAV. And there is another observation for our leverage ratio it is very stable. And over the past three years you can see our leverage ratio is around 54%. And our debt duration, it is also very safe and stable. And based on the mix on our currency, and you can see that RMB accounted for 60% and also for the foreign currency accounted for 40%. And based on the current macro economy, and it is still in a very healthy shape. It is also quite interesting that as you can see a difference here. And traditionally speaking in terms of the financial and operation without center for the first time, and the intelligent manufacturing has been taken out because of all the intelligent manufacturer, it has zoomed to a very larger size. And by this mix, it can also represent our highlight going forward for our ecosystem, especially for the high-end manufacturing. And also, for FFT and also for Nanjing Iron & Steel. So we can see now they have an also come up with very large landscape. And also, you can see in our total revenue, the health represents an RMB 34.61 billion, for the happiness represented RMB 55.90 billion, for wealth, RMB 42.52 billion, for the intelligent manufacturing you can also see it is close to RMB 5 billion. And in terms of the net profit, it is also well balanced, especially for the happiness and due to the travel and also the overseas operations have may be impacted by the pandemic. And we haven't seen loss for happiness. I think this is just a tentative result. So, let's also take a look at our product structure in good balance in all these four segments – in all these four parts. And by break down, so it can also be subdivided into ten product lines. And in health and for our pharmaceutical, for devices, diagnostics, and health care services and products, these are the three segments. For the health it can be subdivided into insurance. And also the property related and Hive management, and also the industrial related asset management. For happiness, it can be divided into the gold and jewelry and also the fashion. So they are the branded consumption. And the second part is tourism and leisure. Intelligent manufacturing area can be divided into resources and environment, as well technology. And also for the whole group you can see very good consistency. And you can see for top five subsidiaries contributed nearly 80% of our total revenue. And the first one is steel Yuyuan. A and last year impacted by the pandemic, we felt some pressure in the H1, but in H2, we have rebounded. So you can see it is improving steadily for Yuyuan.  For Fosun Pharma during the pandemic and we have also translated these crises into opportunities and including the healthcare services and diagnostics, and we have also grown substantially. So you can see more than 6% year-on-year growth for Fosun Pharma. And [indiscernible] declined. However, thanks to the optimization of compensation cost the total profit has to be grown. And also for the Peak Reinsurance and the thanks to the growth momentum we still recorded more than 8% growth. And Fosun Tourism Group, adding addition to the China's market and also for the international market. And these two regions have been impacted by the pandemic. So you can see that. And we have lost more than RMB 10 billion. But in terms of our product and also for our management team, I think, there is no issue for Fosun Tourism Group. And we also believe that once we are back in the right track you can see it is still full of potential. So in this coming year and it is also quite optimistic for Tourism Group. Okay, next. So how can we look at our own business? Well, for Fosun International and while we strengthen our own capabilities and increase our size on top of that at the same time, we are also trying to improve our revenue structure. Over the past five years, let's actually put it in the timeframe of five years for Fosun International as a whole. We have a stronger attribute. Based on industrial operations, the overall revenue kept at the annualized growth rate of 17%, 18% annual growth rate for health. In terms of a happiness, it is even faster like 51% growth. In terms of a wealth originally, it took a big proportion. So growth wise of the past five years, yes, the wealth growth has been pretty steady. The smart manufacturing is growing in a steady manner. So the five sectors, we have a balance in five sectors with diversity in our growth momentum. So actually, this year, the overall revenue, there was basically no plummeting of the revenue, despite the pandemic. Thanks to the diverse structure in our revenue mix. And we cover multiple geographies, so we benefit because of that. If you look at the profit fluctuation and revenue fluctuations that happiness sector has been dealt with a blow by the pandemic. And there is a volatility on the capital market. This is the main cause of the fluctuation of our revenue in net profit. The bar charts, the happiness sector of which the revenue this year went down, for example, by RMB 11.9 billion, and Fosun Tourism Group down close to RMB 10 billion. So let's put it together. Overall revenue, actually down by close to RMB 6 billion. Then you look at the net profits. The happiness sector, the profit is going down. Plus, our investment activities, for example, are affected by the fluctuations on the capital markets and financial markets. So there is certain amount of losses. If we break down those profits and revenue fluctuations, so the situation as I already described. Then let's have by industry, or by geography breakdown inside the happiness sector what about the fluctuations with top line and bottom line? There are three parts. First, Yuyan very strong performance as a matter of fact. Then Fosun Tourism and other happiness related activities like fashion, retail, I would like to say they are negative performance actually offset for the passive growth Yuyan. So overall, there is dipping of the happiness, but there are highlights though within happiness, like [indiscernible] losses were narrowed further last year. So we are very confident about the future. In addition, there is opportunities from crisis because in 2020, for example, H2, there is a very great rebound from H1. If we divide the whole year into two halves, second half of the game last year, we have already seen a very strong recovery, especially on the domestic market. So by four sectors, the year of 2020 to be exact H2 the health sector registered a growth of a 13%, for happiness it is up by 6.9%, and 20% up for wealth. In terms of manufacturing, there is a small baseline manufacturing, the growth is over 200%. The net profits performance in H2, strong growth. So in H1, like the happiness sector that was heavy, loss-making already turn around into second half of last year, despite the continuous pandemic and implications there are from Europe. In terms of a geography, China business remains a strong. In South America, Africa, we registered some growth, mainly because of our global presence of tourism and our retail. There are some countries where the pandemic is yet to be contained, for example, in Europe. So there is big fluctuation for revenue. Then H1 versus H2, in the key regions we cover in our operations. The recovery momentum is in line with the dynamics of different countries locally and also in line with the pace of vaccination campaigns. From that perspective let’s look at the long-term growth momentum. Fosun International manages to keep the high growth in CAGR in the long-term. We think pandemic is like a macro event. And we have China versus overseas for Fosun International. We gradually recover from the pandemic in China first and followed by the global market. Under this macro event Fosun International performance for that we're still very happy. And because we have diverse structure in our business, we acted quickly and managed to upgrade what we do. Over the past nine years if you look at the core metric, for example, CAGR is very good. Revenue with CAGR of 13% over the past nine years; and EBITDA analyzed a growth of a 15%; profit attributable to owners of the parent, a 10% growth; and a 14% for NAV per share. With that said the implementation status of the financial strategy just to sum it up, since we already touched on those exact numbers.  Then what about the future growth expectations and the core factors of our strategic development? The key lies with we need to drive the rapid growth of a various portfolio companies benchmarked against the industry leaders, like the growth, the total size we need to catch up with those industry leaders. We want to enable our portfolio companies to be like the top one or top two players in each industry, to increase the quality of the balance sheet, to go in-depth on industry operations and focus on global operations. The seaside customers needs to put up high on the agenda. Our two Co-CEOs is going to go into more detail on the business activities and corporate governance vis-à-vis how to have this strategy implemented. The industrial internet is going to be a key driver across all those industries. How can we land and implement this industrial internet philosophy? And it would drive implementation for CTM strategy. Plus, we're going to gradually enhance our debts in ESG ratings. Actually in 2020, some of the efforts that we put in place began to yield results. If you look at investment and exit on a group level throughout the best of three years, last year we strike for a balance, we achieved a balance between investment and an exit for the first time over the past three years. We adhere to the twin-driver model, combining investment and industrial operations. The investment will be pretty much happening at our industrial companies, insurers, that fund platforms and our VC platforms who wants to optimize the asset allocation of insurers by investment and that to have a bolt-on type of an M&A and also the leverage, like the external fund leverage. We're going to focus on the core lanes of the game. So in principle, we're not likely to expand into new lanes or geographies. We're going to tap those potential opportunities of industrial M&As and continue to shore up the quantity of our assets to gain strategic advantages. So those are some of the thoughts around our financial strategy, some of the key numbers of our operational status, some of our analysis of those key operational points. Next over to our Executive Director, Co-CEO, Mr. Chen Qiyu, who is going to take over the floor. And Mr. Chen is going to walk us through the performance of a different business sectors.
Chen Qiyu: Thank you, Alex Gong. I like to deliver a presentation about our business sectors and the performance of our sectors. First, let’s look at health. As far as our overall business distribution is concerned, the pharmaceutical products, medical devices and our diagnostic assets, healthcare service and consumption. Within this sector of health, the pharmaceutical products remain a core of the chorus in what we do here. It is innovation driven and globalization driven. This is a core piece of our business within the health sector. So on the note of a healthy ecosystem, the core company Fosun Pharma achieved, let’s say, RMB 30 billion as the revenue. Pharmaceutical business revenue is RMB 21.8 billion and the 22% YoY growth for net profits attributable to parent company. We invested RMB 3.7 billion on R&D for drugs, up 37% YoY. On the part of the pharmaceuticals, the revenue structure is innovation driven and globalization driven. So this is the evolutionary path we're marching toward the biosimilar that we launched rituximab or Han Likang as their trade name in 2020 H1, so there was a shortage of a production capacity, but luckily RMB 350 million revenue was booked for the whole year. The innovation drug, avatropopa, and within a period of a several month we registered revenue of RMB 130 million. There is injectable company in India, Gland Pharma that held controlling stakes. Gland Pharma completed IPO last year. That was the largest IPO ever in India for a pharmaceutical company, plus the top line and bottom line increased big time, top line up 27%, bottom line up 30%. Over the past several years, Fosun Pharma continuously has been ramping up R&D investment. In recent period of time from insight of the company, we have achieved the first international clinical trial, first-in-class novel drug, the first approval of the first biosimilar and the first FDA faster track approval. And also the biosimilar from China approved by EU to market and also CAR T product. If you look at R&D pipeline, we are evolving continuously. In terms of innovation drugs, based on oncology treatment, we have the core products around that area that we also covered both the small molecule and large molecules and cellular therapies as well in other areas like metabolism, central nervous system, where we're making active efforts for product line development. The medical device in a diagnostic branch, which stood the test of the pandemic and we managed to actually tap the potential for faster growth. So during the pandemic, the PCR tested kits were marketed not only in China, but on the global market let's say ventilator business, for example, a ventilator firm in Europe, we mobilized the resources quickly and expanded our production capacity by several times. We managed to supply the products to China and global markets. Our ambulance business originally for stroke mobile platform, but during pandemic very quickly and we actually produced the negative pressure ambulances and offered those hundreds of units to Wuhan and other parts of domestic market. Medical device and diagnostic business booked a great kind of a growth momentum in 2020, surgical robots, for instance intuitive, da Vinci robots in 2020 in store volume in a surgical load has registered very great growth as well. What about our medical service under the CTM model that we are transforming ourselves to work? We have great brick and mortar hospitals like Chancheng Hospital in Foshan. For several years in a row it is the top private hospital around the Yangtze River Delta and Pearl River Delta. We have the hospital networks in systems. This is a strong solid brick and mortar. We also have the brick and mortar OTC pharmacy, as well as the medical device diagnostic, brick and mortar capabilities. So on offline side, we're pretty solid. In 2020, we initiated very quickly the online business by developing the Fosun Health+ and also Cloud Health. At the beginning of 2021, the online and offline are integrated into the integrated Fosun Health toward our consumers and patients. This is actually the Fosun Health business, which is based on the integrated model combined online with offline. And we negotiated with BioNTech Germany, so covering Greater China region, we came up with agreement co-developing the mRNA vaccine, which I'm sure you're very familiar with outside of the Greater China. It is the partnership between Pfizer and BioNTech. So the three parties have been working closely with one another. In overseas, under very acute circumstances, Fosun completed a series of those improvement clinical trials. And we have kicked off Phase 1 clinical trial and a Phase 2 bridging study in terms of Pfizer globally. Pfizer completed the three phases, especially in 44,000 subjects on the Phase 3, so the mRNA, like the first mRNA vaccine that has been marketed globally. Right now overseas, this vaccine has been launched on core markets globally for prevention. The typical case is Israel because in Israel there was great protective efficacy achieved for the population. Within the Greater China, emergency induce was already granted. In Hong Kong and Macau on the Chinese Mainland market with a guidance of the NMPA, the efforts are underway as we speak. What happened is we actually serviced those family customers, upgrade our systems to integrate the whole ecosystem and we have tourism, culture and also consumption. These are very important parts of the Happiness sector. Based on the Chinese market, we try to governance [Audio Gap] for the whole sector and we've booked the revenue of RMB 55.9 billion, among which RMB 44 billion for Yuyuan and which pretty much on par with that of a 2019. Because of the pandemic, especially overseas, as Alex already mentioned, the Fosun Tourism Group, the revenue actually plummeted because in Europe the resource throughout the better part of last year kept closed. The Yuyuan Holdings in 2020, 12.8% growth for a profit attributable to parent, thanks to the optimization of the business structures, especially vis-à-vis the jewelry and fashion, which kept a very strong momentum of growth. So right now there is over 3,800 brick and mortar stores under Yuyuan distributed across the whole nation. Jewelry and fashion is like the core business within the Happiness sector, 8% top line growth last year and additionally 200 brick and mortar outlets were added. There was a big increase in terms of online sales as well, gross margin level 7.6% back in 2018, up to 8.3% and 8.4% in 2019 and 2020, respectively. So over the past couple of years this is a great result of the efforts we've put in place to enhance the jewelry and fashion business. So the brick and mortar presence combined with online sales and to sell more the wild products with a greater profit margin and a globally jewelry and fashion arena, there is M&A while acquiring those brands and there’s like a joint partnership as well. For example, in 2018, we launched the Gu Yun Gold series. In 2020, for this Gold series, the sales revenue was like really great, at least RMB 1 billion. So this is like the profitable product series. So that contributes to better gross margin status. Jinhui Liquor, in 2020 Yuyuan acquired Jinhui Liquor and Shede Liquor. Shede Liquor, it was last day of last year that we acquired the Shede Liquor. Of course, Jinhui Liquor in 2020, 5.89% top line growth and a 22.4% bottom line growth behind which there is a better gross profit margin, gross margin up by 2.1%. So strategy-wise, this is a high gross margin, high value structural enhancement. So from that perspective, those high-priced items are sold more and more. From that perspective from 2018 through 2020, the CAGR has been kept at 30%. Then the food and beverage business, originally it was like old school, but in recent couple of days, sorry, in recent couple of years we're trying to achieve breakthroughs, especially starting from 2018 and we actually acquired Songhelou brand. Now we actually tried to hone that Songhelou branded noodle shops that in 2020 we added 18 new stores. It is estimated in 2021 we want to add additionally 50 stores under Songhelou brand. So the Songhelou Noodle shop, why the tourists are added, because the products we're trying to improve and the motto that we're following are an industrial leader. So that lays a very solid basis for our expansion. In terms of beauty and health, it is our cosmetic business. Throughout the whole year or last year, the pandemic yielded impact, especially in Israel, where we have important portfolio company AHAVA. So if we look at our total revenue, actually it is down by certain points, a 6%, but actually our Chinese market we still have a great performance. So AHAVA’s sales volume in China actually has 73% of an increase and also specialty online sales has been increased to 39% and therefore a significant growth, and also register a triple growth rate. And also another brand, WEI, and in domestic China actually it registers a year-on-year increase of 80% in terms of online GMV. And also it is the top brand of Sephora. And for holiday just now I have talked about due to the pandemic, actually the revenue and also the bottom line is down and also the adjusted EBITDA, and also the net profit attributable to shareholders and also the parent companies are down as well. But although we are still in the middle of the pandemic and we have always tried harder to lower the cost and improve efficiency, and we have done a lot of things in order to lower the cost. And in 2020, of course, we still tried to expand our business. We have the Tai Chi project and also the Tang’an project. And the pre-sale of both projects are now beginning. And actually in domestic China, we still registered a very good performance. And in terms of our resource business, as I have talked about, due to the pandemic, most of the – during the most of the time, the resorts are closed. And in terms of destination operation, where we have a Sanya Atlantis and also if you look at the overall figures, it is a done, however, in the H2 2020 compared to with H1 and also the same year for 2019 is still has a increased turnover including for instance, the contribution of EBITDA – increased EBITDA, and it shows our face and also the attractiveness of the products and the services provided by Sanya Atlantis. And also, as I have talked about our Taicang and also Lijiang project are now in a pre-sale stage. And we are trying to press ahead with the IP and also provide to our content and also to produce to operate our online customer and also traffic database as well. For instance, we have [indiscernible] day, we have a fun show, and also we have a FORYOUSKI and also we acquire the Thomas Cook, and then now they involve into the TCP platform. And also now you have more than 6 million followers. And in terms of wellness, well, we have insurance and also asset management, investment asset management, and also Hive asset management. So in terms of a wells, well the GWP actually is more than 40 billion and actually, as you can see that the combined ratio of our insurance business yes, down greatly, and also including the PeakRe and actually the total investment return, yes. 3.6%, and also we have expanded AUM as well, and also we have for some united house insurance and also Fidelidade and also our insurance business in the America, and also the PeakRe actually the combined ratio is down and also we have a stable total investment to return and also increasing AUM. So these are the highlights. And also in terms of insurance business, we have – in Hong Kong, we have Hani, and also in Germany, we have NAGA, and also H&A, and also Guide in Brazil. So we have a presence across the different regions. And also we have again the 10% of the increase in return and also the increasing AUM. And in terms of a Hive, Hive is a very important part of our wealth sector. And we have a domestic Hive and also we have the overseas Hive and we have this, a twin driver to drive our growth rate. And we have a close the loop and we have formed a positive close the loop. And in terms of our overseas business, our AUM is US$12 billion and also in 2020, actually, we have made a lot of investment as well. And in terms of our investment business, again, I’d like to stress on the importance of our CIO mechanism or CIO system, and again we look at industries and we try to find the complimentary business and also the platforms for our own capacity. So we have the investment or we’ll have the platform type investment, and also we have the complement type investment and also the shareholding type investment. And also we have – last year, we have done some M&A, we have a Shede and also Jinhui successfully closed the deals last year. And these are the shareholding type investment. And also last year, we have many VC – very successful VC investment projects as well. And also at our group level, we focus on a balance of investment and access as well. So the last part is about our smart and intelligent manufacturing. Here, we focus on technology and smart manufacturing, and we focus our environment and also resources in terms of resources, I will have Roc Oil and also we have a Besino. And also in terms of technology and the smart manufacturing sector, we have FFT and also JV power and also color. And these are very important portfolio companies to us. They are closely relevant towards the high-tech and also they are the leading – they are the leaders in each of their segments, and a way to like to introduce their technology also wisdom to China. And in the future, we’d like to have to coverage also in the new material and also automation and also informationalization technology. And also in terms of the smart manufacturing sector, we hope that we can have a better synergy of the upstream and also downstream. For the upstream, we have a Nanjing Iron & Steel and also Hainan Mining. And in the midstream, we have a forest denser precision automated manufacturing, and also environmental friendly manufacturing. And we’re only by relying on the high-tech we can achieve our goal. And also nowadays, we’re also focused on the transition and the transformation of the auto making industry, because everyone is talking about ADAS and also vehicle. And the way we’re closely follow-up on that trend as well, because this trend is here to stay. And also we need to create a better to be, and also to see resource library and resource platform for our customers and also suppliers to utilize upon. So no matter for the upstream, we have iron ore and also steel making and iron making. And in the midstream, we have other making well partners. And actually these are in the up cycle or in the upward cycle of the economy. And therefore, we’d like to see these opportunities provided by the cycle – economic cycle and try to expand our business. And as of for Nangang, actually the revenue has increased by RMB 53.1 billion and also Hainan Mining the bottom line is 143 million, and also for the power – JV power, the lease impact rate total installation in 2020 is a 0.61 gigawatt hour, and these are great highlights, but actually behind it is supported by our products. We have a high-tech products and to lower the power consumption and also to better meet the environmental requirements from the central government. And also for Nangang and also for Hainan Mining we – of course, we continue to focus on the sustainability and also for Hainan Mining, they have the two pillar. One is the oil development and another is in gas development. And FFT, well, it focus on the turnkey solution for the auto making industry and also for other engineering industry. And now in Shanghai, we introduced the FFT business and we have established a base for FFT and to create a synergy of between Germany and China. And also we are trying to enter into well introduced the technologies also into new industries like a pharmaceutical making for FFT. So now, I’d like to hand over the microphone to Mr. Xu Xiaoliang to talk about corporate governance.
Xu Xiaoliang: Hi, dear investors and dear analysts, good morning. Well, in the past year, the year 2020, of course, represented a lot of challenges for Fosun International and also the COVID-19 the pandemic of course has some negative impact on our way forward and 2020 but still we have a lot of highlights and we can say it is the best year we can have, because we’re half the time and to reveal the journey we have traveled and eventually look into the feature. And also we have more time and also energy to think about our organization and also corporate culture and also our strategy and also tactics, and hopefully working emerge even stronger after we have the year 2020. So in my presentation, first of all, I will talk about strategy. A lot of investors keep asking that we see that the strategy of Fosun International is always changing. What is the logic? What is the rationale behind? And whether there are strategies that remain unchanged. Fosun has been around for 29 years, and there are two stages. We have traveled two stages. And now we’re in the Stage 3. And the first stage is between 1992 to 2007. And in this 15 years, we focused on Chinese momentum. And in this 15 years, we witnessed a very fast, a very rapid development of China because of the opening up, reform and opening up. And in the 15 years, we’re moving to the pharmaceutical and also medical arena. And also we move into the real estate and we have experienced a lot of ownership changes in the 15 years between the 1992 and 2007. Then the second phase is between 2008 to 2017. And here I was logging as to marry to combine the Chinese momentum with our global resources and within this 10 or 9 to 10 years, and we have our global footprint, global presence. And we have the twin driver here. And then to – well, 2018 – since 2018 and until now we’re in the Phase 3 and the Chinese economy is now the second largest of the world. And also for Fosun and we already have the wells house and also happiness industry is ready. So in 2018, and not only we need to combine the Chinese momentum was the global resources, but in the future, it should be a two way street. And in 2018, it is a great milestone year for us, because we shift our focus onto our household or family clients and also we need to be innovation driven and it seems 2018, we have a key, but our family clients always on the top. So this is our value proposition right now. And now all of our strategies and the tactics are based on this rationale. And also this of course, well, at the very beginning we proposed that we need to use our wisdom and effort and also teamwork to contribute to the society. So now the society equals to our family clients. So even though, we have a lot of evolution in terms of our strategies and the tactics, but the logic and also the rationale behind it remains unchanged. So this is our top level design. Actually, this is a very important slide. And in the previous years, we talked about element and also we need to have wonderful products, a well products, and then to build our brand reputation and onset to have to strengthen our industrial operation capability. And the third point in the past several years, you can see we have a lot of well products. For instance, I can give you some example from Fosun Pharma, for instance, Henlius and also we have the successful go-to-market of a trastuzumab and this is the first biomedicine that has received the approval from both China and also the EU. And it is a new product for breast cancer and also for hematology tumor and the fall term, we have the small molecule medicine, and also the Eli Lilly actually it pays a RMB 440 million to acquire this product. And then now they are the – have signed the exclusive agreement with Fosun and they are responsible for the commercialization in the overseas market. And therefore, you can see these are several products from Fosun Pharma, which is quite innovative, but of course, in our wealth sector and also happiness sectors, we also have well products and it continuously coming. And actually for Fosun International, we’re always focused on innovation. For instance, now we focus on AI and also smart mobility and also a blockchain and also biomedicine to treat a GI conditions and a lot of well products and now in our pipeline. So we’re always focused on the secular trend. And in the past several years, we’re focused on the M-end and yes, we did that. We have a lot of a good products. But since last year, and we began to talk more about our customers. We still firmly believe that the good products were generated traffic automatically. But still in today’s age, we need to do the marketing around our product. We need to focus on our customers. We need to have a better operation of our customers and the management of our customers. So it seems last year, we shift our focus from M-end to C-end, and only by doing that we can have a perfect match between the M-end and the C-end and also to form a closed loop. So on the left here, this slide is very important. C-end on top, and we hope that it can be an AI driven and also a three tier C well customer management platform. And in the first level, as you can see, we have a lot of a consumption scenarios and the different products. We have a Hainan Atlantis. This is itself a wonderful IPO, a wonderful brand. And every year more than 5 million people visit stay there. And also in Shanghai, we have the Yu Garden. And it is again the offline shopping market, shopping more. And also every year, we are trying to 45 million traffic and also we have Laomiao Gold and also Yayi, and well, it has yes, attracted more than 50 million traffic every year and it has thousands of boutiques around China. So as you can see in total, our customer – our registered followers is now more than 358 million. And also the traffic has more than 470 million, but actually a lot of the scenarios they're still operating in silo and there are quite a fragmented. So how can we combine them together? These are the different touch points with our customers. So we need to have the second tier or the second level, we'll call it as the vertical internet platform. For instance, we have the internet plus, we have the Dongjia and also Baihe Jiayuan we have a Thomas Cook platform, and also we have the – our main platform. So these are the vertical internet platforms, and they can reach out to our offline touch points. And on one hand, they can galvanize the traffic of the different offline scenarios, but also they can put onto this platform, the different products and also services and to have a higher exposure and also to have a higher profit margin, and then to generate a better customer experience. So this is the second tier. And third platform, this is our top platform, and it is still in the process of making. And we hope that we can have a overall membership platform. And on this platform, it will find every products and every services we have. And of course behind it, we need to have the support from AI, artificial intelligence technology and also IT technology, for instance, we need to realize a precision profile of the customers and also very smart forward of our products and the services, and also the accumulation platform of the credits and the points, and also to make the points and the credits of a different platforms can interchangeable and also tradable, and then to increase the stickiness of our customers by improving their customer experience. So this C-end on top actually is a huge campaign for some international. And for our management level, we'll keep stress on that when the importance of customer and traffic management. So going forward, this will be very important for us. And here, in the middle, you will see two circles or two wells. One is industrial operation, and another well is investment. So these are our twin driver force. So many investors asked me that now for some always talk about industrial operation, whether it means, you have already shifted our focus from investment to industrial operation, actually it is the opposite. Investment will always be the prerequisite of industrial operation. But we should not make investment for the sake of investment. What we'll make the investment. We need to think about whether this can complement our internal and external capacity to better serve our family clients, and whether it can complement the existing brands and also the companies we have.
Unidentified Company Representative: So here you can see, through the external driver and also internal growth, and then we can come up with very holistic growth. And also regarding investment in the primary and the secondary markets and plus an M&A, and also plus our industrial Hive. And then we can develop our multiplier effect. It is also quite affirmative, and we do not want to give up on investment. We are going into reinforce on our twin drivers, and we are going to reinforce our operation by make some investment. And then here, you can also see a world map on this slide until for our global organization setup by Fosun, especially under pandemic. So you can see, we are the beneficiary of a globalization for the global fight against the COVID-19, and also for the vaccine development. And we can diffuse the strength and over globalization. And at the same time, we also have competition do circulations, and we have also developing our twin drivers. And we also advocate to the do circulations initiated by the central government. Well here, due to the pandemic and also in the new paradigm for the globalization and thanks to the twin drivers, and also based on the do circulations and the globalization, the global print – footprint will be even more important that we are continued to reinforce. And our globalization, we are going to dive in to – deep into our globalization. We hold that and we are going to empower our global families and based on our international and also Chinese product and their strengths. So for our tactics and strategies for our C-end prioritize, so that is our logic. And within our strategy, we have to make sure that our action and knowledge can be synergized in 2020 and here in our history. And we can see the agenda for our organization is the most important year for us to consolidate restructured our organization. So here you can see previously, it was driven by investment previously, but in 2020, we have upgraded our organization structure. Here, you can see on the top and we have our Chairman/Co-Chairman and CEO plus Co-CEO, so we have come upon with very stable and top and action. And we also have a very strong business oriented CXO. So these are also our top in the fighting forces. At the same time, we can also see that vertically and we have five and BGs and for each in the BG and we also have our BU and under BU we also have on the PL for different industries. Simultaneously, and we can also see that and horizontally, and we have our EMC as well as an our COG for different functions. So we can have synergy, horizontally and vertically. At the same time, we have attached the green importance to the customer operation and the internet and mindset we have setup and our industrial internet and the function now live. And also for our BG and BU and an EMC, we also setup on our internet and related a function respectively. So previously, I know we were investment driven and now we have been upgrading into a fully stretched and the group in a very holistic ecosystem. Well, in 2020, and we have already come up with ecosystem based on organization. And also for our teams, the mostly important is for our Fosun’s partners in the system. And the first one is our global partner in 2016 and we have chosen our first cohort of 18 global partners. Now we have more than 110 global partners in 2021. Especially, at the beginning of this year for different industries and in the function lines and we have also promoted in the more than 60 global partners. So this is the first time for us to promote so many global partners this year, because when we have C-end on the top, we have such an important and the war that we have so many important battles, so to fighting the future. So that's why we need to have in the more global partners to consolidate our ecosystem. In addition to our global partners and in different dimensions and in different tiers and we also have other partnership system. So under our global partners, here you can see, we have 305 industrial sector partners, as well as in 220 functional line partners. And in terms of scientific innovation and also indifferent and dimensions and we have an also promoted 38 innovation partners. So for Fosun’s on the partners and actually, we would like to share our honor and also achievements and also our jobs, and we can compliment with each other. And we hope that each in partner can put their shoes and into the position as the Chairman and CEO, and they can help us to address the difficulties and the pain points and everyday ending the end. And we can come up with our synergies in our ecosystem. So you can see, we are continuing to upgrade our teams in addition to our teams and for our Fosun, and in order to ensure that agility and also flexibility and also growth. So that's why in 2020, I know what we are happy or what we are proud of ourselves when we fight and against the COVID-19. And we come on with our wartime mechanism and also our fighting spirit. And we are more agile and we have quicker responses. And then from the top to down, and we have in a different than battlefields and of the top and based on the family. And so we have in May, and also in September, we have a family days and in the last year we also have on our suppliers and day, and also last year, we have also organized our international brands to support the third CIIE in Shanghai. So through the whole year in 2020, thanks to the efforts on BU and BG and we have afford and more than 230 battles. Through these battles and we are always put ourselves into the war time and dimension. And also while we are growing and we can find these and pain points and more quickly, and also in terms of battles, we call it a star battles, because threw these in the battles and our teams and organizations can also be further trained and evolved in 2021. We continue to arrange in our battles, especially on the top, for example, our COVID-19 vaccine and also our Super Mom Battle and also Industrial Internet Battle for our Fosun Health, and also for our BG and BUs. And they also go into fighting more than 100 battles respectively in 2021, in order to evolve on our whole structure based on the wartime mechanism. And also thanks to the wartime mechanism and our Fosun Ecosystem can also evolve in a very comprehensive manner. And when we are fighting, we all will have and the ranking, including the co-opetition, cooperation and competition. And we have to number one, co-opetition and even for our global partners. So we also want to have chosen by one ranking at the end of the year and the final 10% of global partners. So we also be eliminated or degraded. And we would also like to recruit and our excellent partners, so then we can come up with the reward and the penalty system. So in this way, and we can keep our self always very proactive. And secondly, the rotation is also quite crucial last year and we have nearly 400 employees who have a rotated across the companies and in functions. And by doing so, and we are more efficient and agile. In addition to this ecosystem mechanisms, I think our top priority should also be given to the incentive and the mechanism last year, we put more energy and the time on this incentive mechanism and a systematically, and also based on different industries and the levels and we have developed our short, medium, and long-term and multi-level and multi-dimensional mechanism. And we hope that for our leading employees and we hope that we can diversified our shareholder in channels and the follow up investment mechanism. And now we would also like to make sure that these management and in the middle, you can also continue to grow. For example, we would like to encourage you the efficient of the three tier profit sharing mechanism. So by doing so, and then we can retain the C-end on the time before more value creation. So next, let's take a look at our culture. And externally, we will take a look at on the staff and internal we are going to see is management, but in the long run, and for the core, we have to take a look at the culture. Last year, we initiated the eight things that we have to do. And we continue to fine tune our ideas and the customer first, and is our top priority because in the new war, in the new battle, and we can continue to lead ourselves by putting customers first and over the past 29 years and Fosun’s values and also evolving. And we have our everlasting aspiration. So that is more about the self-improvement teamwork and performance and a contribution to the society and so our culture. At the same time, and we have to ensure a better life for global families. Here, in the first place, as we organized as the global anti-pandemic agenda without concerning the Hani Capital and also risk. And we put an emphasis on the vaccine and development, and we keep our original aspiration to take the lead. For example, years ago, we launched the Rural Doctor Health and Poverty Alleviation Project and we help the healthcare system, either grass to root turned to growth and we covered in the 15 provinces in China, as well as, and then the 70 national poverty counties now. And we have also supported more than 10,000 rural clinics. And we have also sponsored more than 28,000 rural doctors and as well as more than 30,000 rural and their families and then also in the award ceremony, and of course, enhanced and also we awarded as the National Poverty Alleviation winner, as mentioned by Mr. Guo, Mr. Wang for CSR, for charity. It is not just a slogan or campaign because that is the aspiration for our culture, especially the contribution to society. And it is part of the DNA for each Fosuner. So here, so it is about our mechanisms, structure, and the strategy and how we are going to upgrade and all these dimensions. Going forward for all our Fosuners, we will continue to make contribution to better life for the global families. And we will need more efforts for our shareholders and investors, as well as all the end customers, who really keen on our performance. Thank you.
A - Unidentified Company Representative: Thank you, Mr. [indiscernible]. So now we will like to open the floor for Q&A. So we would like to welcome our online and offline investors and analysts to raise questions.
Unidentified Analyst: So here. Good morning. And thank you very much for giving me this opportunity. I'm an (1:03:18). So I have two questions. So it is more about the macro. It is more about your organization structure. First of all, and this year, you're putting a lot of emphasis oversea and on the top for your business strategy. Of course, this is a pretty good. Fosun has accumulated so many members and then also traffic, and you can leverage it resources, but in terms of a data integration, how to really match the demand and the user consumers. So there are still a lot of difficulties maybe for our senior management. So when you put the C-end on the top what are the specific and challenges and difficulties do you have, how do you overcome them? Can you also give us a very specific example about how you are going to put C-end on the top and how you're going to help the Fosun or how your strategy can help grow Fosun? And then second, is on partners and it is also about organization structure. Well, this year you have promoted so many partners. So my question is, and for those partners compared with their previous functions and what are the changes for their functions or roles after promotion into the partners, any change in the full year competition rules, and how can you make sure the fighting strength can be retained.
Unidentified Company Representative: Well, thank you very much for your question. Let me answer this question. As I said, I just now when we say – when we put C-end on the top, so this is very important and then a battle in the war, we have seen our advantages in different scenarios and for different products, and we have our traffic of customers in our interests, but we still have some pain points. And of course, such a huge, and then daily collection now for the users and put them together, how can we integrate them and how do we pull them together? So this is a systematic project. So that's why we have for three-level platform. The first level is the basic one for each entry point. And we are going to set up our CRM. And over the past years, enough efforts, and these foundation has already been consolidated. And maybe I can give you one example, take our Lao Miao and also Ya Yi, they have a lot of direct end stores three years ago. And then we found that we only have a 100,000 members for Lao Miao and Ya Yi and we take holidays, there is over 100,000 customers as our members know the past three years and of course, [indiscernible] and also Ya Yi and now we have for 3 million subscribers now, and the last year in terms of the sales and revenue, their repurchase rate increase RMB500 million. And in our total consumption, accounting for higher percentage, even during the pandemic period. So I think therefore all our industries and the functions, we have to systematic set up this platform for all our members. And second, and then we already have our own vertical integrated platforms, and we have also classify them, take the health for example, we have a health and the plus platform for the happiness and that we have an Damiani and Dongjia also by Baihe Jiayuan and et cetera. So after classification for these vertical integrated platforms, and then we can have an better management of the product and the portfolio, and then traffic management, and then we can ensure the interconnection with each other. And ultimately, speaking and from top, we want to have a food domain and platform, which can be fully integrated with each other. And more importantly, it is reliant our future membership system. We hope that through our points and also through our offline services and in the ecosystem and also our profound and products, and then we can deeply empower our consumer series already down the way. And it also requires, all our Fosun businesses and to put the resources, the board of directors is also emphasizing this. Maybe you can also take a look at that and also for Fosun, on the daily basis, we are making efforts and to evolve. And for another question, it is about the partners. Our CHO, Mr. Pan Donghui can help you answer this question.
Pan Donghui: Thank you for your question. And at the beginning of this year, and we have promoted 66 new global partners all together, and we have 118 global partners. And why do we want to do this? Because for our whole group and our position in innovation and driven in the family consumption and group based on the industrial internet. Industrial internet has newly added, and also for the profound industrial operation perspective for our Fosun ecosystem. And we can see a passion of our generals and our fighters in different tracks, in different geographies and in different innovative areas. And they are already making huge contribution and based on this logic, and we feel it is a necessary to promote. These are generals and the fighters, and to let them to have a better cohesion. And also for our Fosun ecosystem, for reason to all 3% and now these are core talents and should it be congregated. So by this calculation, I think no more than 100 global partners are still not enough and in the future, and because we want to grow our business and also based on our global footprint and maybe in the future, and we want to have a 200 or 300 global partners. And then global partners, the structure of this partners as a form of organization or upgrade of course, this is not only about an honor for the partners. We hope every partner in your respective industries, it is a must. They are here to the grow the strategy of the whole group. It is essential for each and every global partner to be deeply rooted in your industry and to turn your presence in the industry, into the top tier globally, right? So we're going to actually measure your performance, whether you're working hard and to take more share and always aspire for being the top two or three in the industry. And for the elite kind of a talent in our talent pool, like the global partners, there is going to be great incentive system put in place, as well as Mr. Shucui mentioned, in near-term, middle term and the long term, we have to all around and sent to the system in place that we will continuously improve and evolve. So the system in a platform of opposing group, we enable our global partners to be board and to act on the markets. So in your respective industry, how can you strive for those talent resources? This is like the battles we've got to fight to take those talents in each industrial vertical. So we can also leverage the ecosystem resources of the whole group. Therefore in a nutshell, we capitalized on a strategy of Fosun Group trying to achieve a faster growth. So for each portfolio company, we aspire for becoming the top two in the respective sectors. So the global partners are supposed to defend what they have already in different lanes, but plus to actually walk the extra mile and to smile for excellence, make great contributions in each industry. Moreover, we also emphasize the importance of the ecosystem for Fosun Group. So another request we put forward to global partners is they're supposed to look at the viewpoints of Chairperson and CEOs, as well as the shareholders in looking at the work they're supposed to do. So amongst the different stakeholders, we need to complement each other, right. We're not supposed to make the decisions based on our own hunch that we need to put ourselves in the shoes of others. We need to look at the level or standpoint of the whole group and a standpoint of that ecosystem of Fosun Group. We should also look at the perspectives of the customers as well.
Unidentified Company Representative: All right. Thank you, Mr. Pan Donghui. Any additional questions?
Ma Tingting: Thank you, management for the opportunity I'm from Guosheng Securities My name is Ma Tingting, analyst. My question is pretty much around insurance industry. As we know globally Fosun Group owns collecting insurance licenses, not only in China mainland, but in Hong Kong and Europe. What's the plan for the future development of your insurance business? Second around the investment, because back in 2020 Fosun International acquired some new looker[ph] stocks, so the wealth sector has been singled-out as a separate sector, so going forward horizontally, what plan do you have for future expansion, vertically within the Fosun Group? How are you going to achieve more synergy on the note of investment? Third, the health insurance is a very popular topic for insurance sector as a whole, as for health insurance, do you have any plan to synergize the health insurance with other portfolio companies inside Fosun Insurance. Thank you.
Unidentified Company Representative: Mr. Chen Qiyu.
Chen Qiyu: Thank you for your question with regards to the insurance business, as far as planning is concerned yes insurance is very important for Fosun. In response to the third question first, which is around health insurance. Let's look at the domestic market first. Our insurance business, I think there are three themes we need to cover. First health, because on the Chinese market, the insurance business on the Chinese market, the health insurance, which has been developing substantially, because 1.3 billion population in this country, the per capita GDP of CNY1 were $10,000, given where we are now in terms of the GDP development phase, I don't think the offerings of health insurance are adequate. Then plus if you look at the medical insurance and reimbursement, it is pretty much public hospitals that deliver important healthcare services. And then in the past, China pretty much relied on reimbursement for healthcare insurance coverage, right. But this is not good enough going forward. The commercial medical insurance should pitch in, to compliment other public hospitals and the reimbursement pool, to share some of the burden to relief those public hospitals system of the pressure. So this is kind of a commercial insurance for health is going to be very important in the future. And how can we put customers on top? The insurance represents greater source of users from the seaside. If you look at Fosun United health insurance, which has been up and running for four years already, right now we've got a user base to the tune of 3 million individual users already, but this is only a start. If you look at the America United Health Insurance, this is like a front runner globally, over the past five years or six their market capital was 88 billion but now their market cap is already 300 billion, the American United Health Insurance, because they manage health for 50 million users. Think about it as a share of the American population, so the percentage of customers they cover in America is big enough already. In a long-term, U.S. indeed, health insurance there is great room for development on the seaside. The next the synergy we would like to extract for investment [Audio Gap] Pramerica Fosun and Fosun United Health Insurance. The size of the total assets has been on the rise in recent couple of years. As the size goes up, then we aspire for the total size of our insurance assets to the tune of 100 billion, right or even more. So those are three important themes of course for China domestic market. What about overseas markets? In the past, we are active in global insurance already. It says a lot about our abilities to allocate resources and assets globally. On the international market, we've managed to help those overseas insurers to enhance their profit margin status. For example, Fidelidade before we came in, the profits were €100 million, a lot of investment previously geared toward those low income kind of government bonds with a lot of active management, but now since we come in and there is active management, enhance the ROI, the return of the investment increased enormously, right. So there is a great guarantee of the return. Then PeakRe last year, the return on investment was a 63.6%, which was increased substantially. If there is a wonderful investment target we’re willing to seize this opportunity along the lines of insurance in the future, going forward. Overseas, there was – like the 2C direction to go in the future overseas. If you look at Fidelidade, after our acquisition there was a health insurance Medicare, since we came in we acquired to Luz Saúde, which is the largest hospital group locally. Therefore we combine the health insurance with the health service delivery. So this is a great enhancement to the 2C capacity overseas. Then what about synergizing between health insurance and other business? Fosun, working on health insurance, our biggest advantage lies with synergy, because we're able to extract the synergy with multiple business activities within Fosun Group for example, health service. Coming forward, we wanted to make the health insurance take the core of that as we've got to make sure we have a manageable healthcare network. Ultimately, how can we do that? We need to own and run our on hospitals, because convention is speaking. There is a conflict of interests between insurance and the hospitals, because insurers – if an insurer owns his own hospital network that's going to be essential for your future success. Second to synergize with our pharmaceutical products, we've developed a lot of insurance products for pharmaceuticals. For example, previously we launched United Family Health Insurance for years, created advantages in Beijing and Shanghai. And also synergize what we do with testing in our medicines as well with let's say senior care, right? The mega health of Fosun, there are two parts going on, first pharmaceuticals, medical devices, and diagnostics, which is technology driven based on R&D in a novel product development. But on the other hand, we have hospitals, healthcare service, health management and health insurance and the internet, on this end it is pretty much a centered around individual needs and the requirements. So we've managed to close the loop on both ends. In the long-term we're going to post great advantages. If you look at Fosun Care, within Fosun Group, we combined three partners, like the real estate, the healthcare and insurance. The three sectors are integrated, then we shape up the Fosun Care ecosystem and we have registered a great progress with respect to the sick beds, a number of the beds and the number of outlets, as well as our profitability and ability to deliver services, for example Starcastle. Starcastle is already very profitable, right. And we are trying to expand it nationwide, then insurance enablement, healthcare enablement, there is a lot of a game as we can achieve across the board. In terms of investment, Alex, would you like to shine some light on that topic?
Alex Gong: All right. On the investment note, since the establishment of Fosun in 1992, we have been adhering to the twin driver motto, combining industrial operations with investment. So this is like the ace card, we have all along, a great weapon in our arsenal, plus in recent couple of years, we began to boot depth in our industry operations. We focus more on the very row of investment, M&A and value creation. We set up the role of CIO and to create the CIO function as a matter of fact. And we have the Chief Investment Officer, Tang who should have been here today, but because of the busy schedule he cannot make it here today. We have the Co-CIO's as well, dedicated to different verticals. So investment wise, we have the org structure put in place in. And we actually put it up high on the agenda of our corporate strategy. Second, in terms of a focus on industry operations, we have brought about some change doing investment strategy. Number one, on the top level of the group as a whole in principle, we're cautious. We seldom participate in purely financial investment that we strike for a balance between investment exit last year. We achieved a balance for the first time. But in addition, the frequency of the investment activities, the criteria that we follow in picking investment target, there is big progress we have made in those industrial companies like Yuyuan, NISCO, Nanjing Steel and Iron. And we try to control those, I mean we have to gain minority – majority stakes, controlling stakes. For example, last year, NISCO made an acquisition of Wansheng Company which is actually a niche player in the auto industry [Audio Gap]. So those are great examples. So those are some of the directions to go for industrial acquisition going forward. Fosun Insurance we will also make some finance-oriented investment to allocate the capital in funds. But from the top level of the organization in a group, here we try to have those great integration of different styles of investment, how can we create new lanes going forward. On both the top of the group in a portfolio level, we are cautious about whether we should diversify into new lanes. Neutrally speaking, we won't take the rush to diversify into new lanes, what we're concentrated on right now is to boot on what we have already and then to do it in a better way going forward. And achieve synergy and to boot industrial operational depth.
Ma Tingting: Dear Fosun International management, I am from Guosheng Securities. I used to focus on Fosun Pharma, but this is the first time I've attended Fosun International event, but I have some questions in the afternoon for the Fosun Pharma management. But now right now, for the Fosun International management, Fosun Pharma related business, as things this year, the scope of your business coverage may be expanding this year. What's your thought on the level of Fosun Group, especially with respect to the mRNA vaccine with BioNTech, which is going to be marketed soon, so on a lane of mRNA vaccine and vaccines for tumors or other infectious diseases, what plans may you have in the future? What's the outlook on the future technologies on that note? Second, WeDoctor for example in United Family Health which you already sold, now there's a big internet healthcare wave and a movement because we heard like the synergy you want to extract within Fosun Group. So in terms of a Fosun Health, as we know that, there are those internet healthcare companies, some of the companies may have already been listed on the Hong Kong Stock Exchange. So from the Fosun Group level, what plan do you have to extract the synergy, right between health care service and pharmaceuticals? Third, innovation of Fosun Pharma, Fosun Pharma is doing like the R&D and also to strike for partnerships with the external partners, but what help can Fosun Pharma gain from Fosun Group, in addition to resources like capital, what other kind of a support Fosun Group can give to Fosun Pharma to help it boost the innovation driven internationalization? Can you tell us some cases, studies or some of the specifics in addition to those overarching strategies from the group level?
Guo Guangchang: So Mr. Chen, please.
Chen Qiyu: Thank you for your question. First, mRNA technical platform, during the pandemic very quickly, we responded and we came up with a technology partnership agreement with the BioNTech because of the past years, we have been looking into opportunities already. The RNA technology back in 2008, we began to look into the – let's say RNAi technology, that was way back. Then by 2017, we began to look at opportunities around mRNA technology platform. The ideal scenario would be – we actually create mRNA technology platform on our own, but the pandemic was a drag, but we have build some understanding about the technical attributes and the characteristics of the very technology of mRNA. So we're confident about it. That's why we acted quickly and come up with a partnership agreement with an mRNA company like BioNTech. If you look at RNA as a whole, which is not only restricted to mRNA, the RNA lane is maturizing. There is higher level of drugability. Especially during this time around, like the vaccine development and those regulatory agencies across the globe, right, when it comes to this new technology, regulators actually give this new technology a green light for healthy subjects, right. So under these circumstances, this technology platform is a lot more mature than early. And the safety has been verified so it has the drugability. So the RNA technology going forward, there is likely to be more vaccines in the therapeutic products to be developed. We stake a lot of hopes on that point, going forward as a technology platform, Fosun is going to continuously focus on the RNA technology as one of the focuses. In terms of the internet health care, prior to the pandemic where we were, we actually made some equity based investment. We purchased equity stocks of WeDoctor and Jiangsu Wanbang, one of the host of those internet health care companies, right. So we were pondering how we were supposed to go ahead. How could we migrate what we do at the brick and mortar level online when the pandemic hits China. When the online consultations and purchase of drugs online began to gain popularity, so very quickly we acted and we adjusted our strategy, so very rapidly, we begin to shape up our internet health care platform.
Unidentified Company Representative: So what is our advantage here in building online platform. Actually offline, we have clinics, we have hospitals, we have the networks and also we have products already available. And basically if you want to build a successful online medical consultation or diagnosis platform, basically you need to have a traffic ready and then to combine with our products and also insurance products, where you can do that. And for instance, offline we have a network of hospitals and also offline we have thousands of doctors, they consist a network, a overall network. So this is our strong suit. And after six months of exploration and the development, currently we already have the Fosun Healthcare platform ready. And on this platform, we'll combine our offline resources and also we have two faster growing players. One is the Health Plus, that is the Health Plus about online consultation and also the Cloud Health and the Cloud Health basically focus on the pharmaceutical marketing, drug marketing, and it is to the patients and also to the doctors. And they focus on diabetes and also CKD, Chronic Kidney Diseases and also other chronic disease management. And we provided this platform as a tool to connect to the doctors and the nurses with our patients. And also we focus on pediatrics and also gynecology and cardiovascular diseases. These are vertical consumption scenarios. And what need to combine our online with offline and also offline to online and through our Health Plus and also Cloud Health. These are two platforms to cover all the scenarios we have and also all the restricts we have. And of course, we need to focus on the gross margin of the pharmaceutical, of the drug, and then to combine our customer management to guarantee our future profitability. Of course, we'll continue to work together with Ali platform, Tencent, well, and also JD.com. And in terms of innovation, well, again, we need to talk about Fosun Pharma. Fosun Pharma is of a large scale already. And it based in China and it has a huge cloud over the pharmaceutical, medical, and also healthcare services industry in China. And also, as you can see, we have a lot of R&D input, and it has a very diversified pipelines. And it has the capability to press ahead with innovation. So from our group level, what we can do is to provide investment guarantee and we have a lot of examples now can demonstrate that we can use our investment capabilities to further empower Fosun Pharma. For instance, our Alma, well acquisition for medical aesthetics, and also our CPAP, our ventilators, M&A and also we have VCs around the globe. We have the VC network and some of them is direct invested by Fosun Pharma and some of them is initiated by our group level and to participate in the VC investment. So this is about investment. And another thing I like to talk about is our local capability. We always talk about localization. So not only we need to move abroad, but also we need to build our local capacity, for instance, no matter in South Africa, in America, or in Europe. And we try to find the local people, the local team to keep our boots on the ground. And only by combining our local capability with our global resources, we can hit our goal. And about fighting the pandemic and also about vaccine, I have several items. In recent days, we closed the deal with Shede, and actually in Shede, well, they always talk about how to keep a balance of seasoned the opportunity, and also to sit back and to observe the market. Well, actually in China, Fosun International is quite conservative actually when we make the investment. But however, in terms of a vaccine and vaccination development, we can say that we shoulder our responsibility already. And at the early days, we look at the vaccine, the available partners, the available platforms, and we try to do the chart picking and make the right decision. And we try to do that to provide additional option in terms of our vaccine and vaccination for China, for our people. And the last year – by the end of last year, we need to pay the deposit to pay the down payment for the other placement and also the supply of the jobs. Well, of course that entails a huge risk. However, we continued to do that. And one way talk about the vaccines, we always think about what is our corporate responsibility instead of what is our financial returns. So, first of all, here, I'd like to thank my team and also thank our CDE and also other relevant administration and also authority in China. And we hope that we can introduce this vaccine as soon as possible to domestic China as well, not only in Hong Kong and Macau and for CDE and also for our authorities, actually, they are working really hard to accelerate the whole process. And everyone involved has dedicated a lot of energy into this project. And also Ugur from biotech – BioNTech has also received a national level reward in Germany. Well, he deserves that. He honors that. And when we talk about vaccines, well, actually it is all about our responsibility to the market, to the people, and also to the country. It is above the financial returns. So this is the add-ons from my side. Thank you.
Ma Tingting: Thank you, Mr. Guo. And…
Unidentified Analyst: Thank you [indiscernible]. So I have a several add-ons, several questions. First of all, is about the Chinese liquors. You choose Jinhui and Shede to do the M&A last year. So what is the rationale behind? What is the picking criteria for your underlying targets? So after close the deal, the deal is closed. Then what is the strategies on going forward? So how do you enable these two projects? Well, these two brands to go further. And also you talk about the new energy vehicle, right, because you already make investment in JV Power. So this is a new energy brand. So after you make this still, whether it will also move into the raw material and also the OEM, whether it will make relevant investment as well, and also what is the CapEx situation?
Guo Guangchang: Well, thank you very much for your question. Again, you mentioned two very important deals last year, our two Chinese white wine brands, well, China, well, actually we have a more than 3,000 years of enjoying the Chinese white wine. And also under the pandemic still our white wine market is getting revenue. Actually last year is more than 6 trillion, of course, 6 trillion is already a large number, but ongoing to the future we see there is still growth potential. And also for Fosun International, we try to – we try our best to serve our family clients. So when our family clients, they gather together during the festivals, of course, they will enjoy a bottle of wine. And actually early on, we began to scaling the right underlying targets for white wine industry. So why – what is the rationale actually Jinhui and Shede both of them are very good brands. Well, in our internal, well celebrations and internal gathered together we enjoy Shede and Jinhui and also the white wine requires time and they are all time honored brands. And also we go on the field visit and we'll look at their factories and also their storage and their warehouse. And actually everything is very good. And also the Jinhui and Shede, they both have very enabled teams. They are in very safe hands and therefore was a good product and a good team, and also a good hardware of course. These two brands are very strong. So of course, if we look at Jinhui and Shede, they are of a different front, different regions, and if they have a different, somewhat overlapping and customers. But still if we look at our white wine, well market, we have a lot of products. We have a lot of brands, a lot of players in the market, and actually from our observation, these two brands, they are of a different and customers, and we can use our resources to enable the development of these two brands. And now the Jinhui has announced their annual results, their annual business performance as well. So no matter the bottom-line, and also the revenue actually are growing in 2020. And this is very hard to get, especially in last year. And also Jinhui actually focus on Western China and especially the Gansu Province. But last year, the revenue increased beyond Gansu Province is registering as more than 30%. And – but this is just a start and we can do more for these two brands. And for Fosun International, not only we will focus on the Chinese white wine, but also we'll move into other food and a beverage market as well. And for instance, now we have a brand of a wine which has made from the plum and basically this wine is for our female consumers, and a lot of the plum wine actually using traditional method of making. However, we use a very innovative way of making we use a fermentation and this can, well, this can enable the taste much better than the traditional way of making. So in the future, in terms of a food, beverage, no matter it's in wine or in Chinese liquor in the future, we'll provide more well products for the market. Thank you. And about the new energy vehicle, maybe Mr. Gong Ping can address that.
Alex Gong: Well, this is a very good question, actually, because in today's financial statement, actually, we'll talk about the smart manufacturing. And actually we have a newly established committee called the smart manufacturing committee. And for instance, NISCO, the Nanjing Iron & Steel, and also the resource type enterprises like Roc Oil and also JV Power, and also FFT are all included in this newly established committee. And we believe that the smart manufacturing is a secular trend, and also it is encouraged by the central government by the policies of the government and the JV Power, well, it is a very good company in the auto making industry and we're making the investment early on. Well, this is not a start. Actually in parallel, we have made a similar investment. For instance, NISCO in their product profile, there is special steel for the parts and a component for the auto makers. And for instance like the screw and also bolts a lot of OEMs, choose special steel from NISCO to do that. And also FFT and for instance, they serve a lot of automakers in Germany and also in the rest of the Europe as well. So JV Power is only a one part of this chain, and also it's a softer pack lithium battery is quite leading in terms of technology. And after acquire the JV Power by using our resources actually will enable its ranking in the automaker to increase for the past three years. And also for the JV Power, if you look at the H2 business performance actually has a strong recovery, strong rebound. It is especially in the fourth quarter. The sales number of the new energy vehicles actually is rebound rapidly. And a lot of new orders has been placed and there has a new facility Yancheng and of course it still need some time to do the commissioning and then to have a higher supply available for the market, but currently a lot of the order has been placed for the new energy vehicles. And also in the future, it will also diversify its portfolio to include higher price items. So in terms of a smart manufacturing, well JV Power is a very important part, but it is not a start. Already, we have a caller, for instance, and we have made the investment very early on.
Unidentified Analyst: Thank you, Mr. Gong Ping.
Liu Xinqi: Thank you. I'm from Guotai Junan, my name is Liu Xinqi. So I have two questions. First is about the C-end on top strategy. The C-end on top strategy do have a very clear cut goals or targets? So when we talk about this campaign or this strategy, whether we have very specific numbers in terms of followers, in terms of members accumulated on the platforms and for instance, what is the DAU and also whether there is and a very clear cut figures or clear cut strategic goals. And also the second question, well, in 2020, we had a pandemic and it is really a black swan and we have encountered a lot of challenges. So during the pandemic, and also in the post pandemic era, what is the situation after liquidity? Because we see the tightening of the money supply, and whether you have some preemptive of financing plans now available.
Guo Guangchang: Thank you. Again you mentioned C-end on top; this is of course very important on going forward. In terms of indicators, in terms of well the KPIs, already there are quite clear cut. And first of all need to galvanize for instance, the traffic offline and to turn to convert the offline traffic into our online members. For instance, we're in the BFC shopping mall, it covers 100,000 square meters. And it is the landmark of the pound. After one years of development, now the BFC has more than 300,000 and this year's goal is to achieve 500,000 followers or members. So not only we need to have incremental growth in terms of the number of traffic, the number of customers but also we need to look at their conversion rate and whether we can provide them with a diversified services and the consumptions in our roles to satisfy their demand and to enable our customers to feel that yes, Fosun is a large company, it is a diversified ecosystem. And also we have a lot of supportive measures to encourage, to attract the traffic. For instance a free parking and also reward redemptions, but ongoing forward, we also need to make the points and also make the credits interchangeable among the different platforms, among different online platforms. And we hope that by that we can galvanize the traffic and to increase the number of members and also improve the conversion rate. I have several others; we talk about C-end on top. The goal is to better serve our family clients and also to have a rapid development. So we have put in place a whole team, and also we have a lot of brands with the gross rate of more than 100%. And we need to continuously to press ahead with that trend. So we mention, we talk about the C-end on top not only to, it is not for the sake of only to manage the customer, but actually we want to provide a better service to them.
Alex Gong: Well, actually, this is a very good question. Well, 2020 it is a Black Swan year and we have a COVID-19. It has a – it takes a huge blow to the market and also there is a huge volatility in the market as well. And one, we talk about for some of course will have a very stable financial discipline, very stringent financial discipline. And also we focus a lot on compliance and also on risk management. And in terms of a financial discipline, as I have said, it is very stringent and it enable us to have a very good liquidity. The cash reserve is more than 100 billion, and also in a public market we do the financing and also we do the credit financing and also the syndicated loan. And we'll have a very house relationship with our partners. And I can give you several examples. So when we talk about pandemic, there were two stages; one is the 2020 H1 and then is the H2 and we're still in the middle of this pandemic. It hasn't over yet.
Xu Xiaoliang: So I can share with you some of the numbers on the final group, and to our over marketing and financing and in the most serious period, and we have issued in more than 18.7 billion and a 5% interest for the travel group and bond. And for others, the credit is less than 3.5%. So comparatively speaking, since 2018, that is the lowest? And then in H2 last year and in July, and also October and December, we have issued in the three USD bonds and each time our bond issue, the interest rate is even lower in July; and the cost is a 6.5% in October; the cost is 5.9% in December; and thanks to the liquidity, and it is a lower to 5.4% for the costs and of bond issue. And you can see that for the oversubscription and also the lower cost in the issue and also the smoothen issue have already demonstrated a lot. It also shows the confidence from the investors. In Q4 we are very few of the companies to issue the bond as one of the private companies; they need the open and market financing. And also you can also take a look at the secondary market and the partners [indiscernible] and you can see our bond transaction of Fosun. And in terms of the – on the return, and you can see that, no matter what happened in our return from our bond is quite stable. There you can also see the confidence and also for the capital and the financing activities and can ensure our smooth growth, just like investment, the strategy in the global level we want to have the balance and of both investment and the management and exit from the non-strategic. And then for the insurance and asset management, we still try to find growth opportunities especially merger and acquisition opportunities. And you can see that in terms of the pressures from pandemic in China and outside China, we can also see more and more market opportunities, thanks to our liquidity and also the capital raising capabilities. We are able to implement all these projects. Thank you. The lady over there.
Unidentified Analyst: Yes. Thank you. With Orient Securities my name is [indiscernible]. I have two questions and the first of all, my first question is again, for the pharmaceutical and how about the future trend you are looking for? And especially for the innovative and pharmaceutical in terms of an R&D and also BD and also sales, and what's your comment in the future? Second one, for the medical beauty; it is also a popular domain for Fosun you have a lot of investments, and for example, for the pharma and medical. So what's your future plan? And you have also made investment in Sisram, so what's your future comment?
Guo Guangchang: Well for the pharmaceutical, and let's take a look at both the domestic and international markets. There are two popular topics. One is innovation, and we are continue – we will continue to strengthen our innovation. And also, it's not just about China's market, we want to go global? We hope that Fosun and pharma can become a global company from research and the production, and also sales.
Unidentified Analyst: You want to become a global company – a truly global company in terms of research and BD and also sales?
Guo Guangchang: We should be truly global. In China's market here you can see we are moving from traditional until three end, one is innovative and a second one is the – and the middleware and also the sales and channels; the third is on the more internet base. And also we have our teams in Africa and the United States, and we also have a setup on the generic and the drug team, and also in Europe we are also building our team. And also in South America and in Southeast Asian countries, so we also try to find local partners for sales. And then for the manufacturer; now we have our presence in China and in India, and in the future we are also going to have our manufacturing facility in USA. We want to use a global vision to obtain all the advantages and also for the R&D and you can see that in the United States is quite an advanced, and also we can see low cost in India. We have to leverage all of these resources. Second question is about the medical beauty is a very popular domain. But I think it is also sustainable and therefore the medical and beauty business and I think it is sustainable in the long-term. You need to have a very good product. Our first step is about the Sisram, and in terms of the laser technology, it is also state of the art technologies before the medical beauty. We want to add something more, for example, recently for the medical beauty, I know we also have some new products and in our pipeline. And you can also see, we have already made some new investment, and because for Alma, it is more about the medical equipment. And then we are going to put emphasis on November, a medical and beauty materials and including the cosmetics, and we are going to cover more domains in the medical beauty. And also among clinics, among the medical institutions, so we have already seen very good growth opportunities, and also based on our internet and operating capabilities, and we want to harmonize our business related in the way than our medical and beauty and CN and around so branding and also our product competitors. So everything can be interconnected with each other to boost on our medical beauty. Well, we are running out of time. I think be maybe the last question from the floor over there.
Unidentified Analyst: I'm [indiscernible] from Korean Securities for the gold and a jewelry business that is growing very quickly. While you're expanding our presence in China, how are you going to manage in your stores so well, can you also share with us your experience?
Xu Xiaoliang: Thank you for your question. Indeed, for the golden jewelry business, we are accelerating our footprint last year and for Laomiao gold, even under the pandemic until we have still opened more than the 600 new stores all together and for Yuyuan and Laomiao and all together, we have 3,394 stores. And this year we will continue to enhance our ourselves and our channels and by stores. And at the same time, we will like to focus on these highly profitable products and empowered by our branding strength for example good luck from Laomiao gold. So you want to add more implication and a connotation into our brands. So we're also working with different designers. For example, last year and we worked and we have achieved an feng shui master, madam Mak. And we have also launch and these and the vintage and gold products. At the same time, and overall speaking and we also put emphasis on the management based on all the digitalization and also see, and on the top we have to strengthen our customer operation. So this isn't out long lasting strength. And also for the gold and jewelry business, and that we have also put emphasis on twin drivers last year. You can see two international brands and have already been landed in the domestic markets with stores Djula and also Damiani. So they have already been sold in the stores as well as a connection with our online platform. And this year, these are two international brands will continue to accelerate their pace in China's market. And also for IGI, and that involve the jewelry evaluation. So you can see for international brand, which will be interconnected with our domestic brand. And so we are going to really synergize and these instants for gold jewelry it is also a top priority for the family consumption. That's why for Fosun we're going to expiate and also broaden our resources in this business as well. Thank you for your question again.
Unidentified Analyst: Thank you Mr. Xiaoliang.
Operator: So this is the end of our Q&A. So we would like to invite Mr. Wang to give us an wrap-up.
Wang Qunbin: So first of all I'd like to thank you once again, and I'd like to thank all our offline and an online investors and as well as analysts, thank you for your attention. Well for our whole management team we've already set a lot, especially in 2020 last year. We experienced so many challenges and also mentioned by Mr. Guo said we have an overcome a lot of difficulty last year. I also think that it is also the best year for us last year in terms of growth. After I served as a co-Chairman, and I'm also assistant Mr. Guo to reinforce on our top line design and also team building. And I have also some new takeaways and as a co-Chairman and I also have some new thoughts. So, I will also like to share with you some of my observations. First of all in terms of the speed of growth and previously for a traditional company, so we want to go over to ROE 50% to challenge 30%, however for ROE, when we set 50% for ROE, so it means that the growth is around 50% or maybe a little bit higher, that's why over the past years of growth and we can always see the two-digits growth. However the whole world is changing, for our original aspiration and actually – and we want to make contribution to the societies and about the teamwork and also the performance. We want to provide to the global customers and families with good products, at the same time we want to create more returns to our shareholders. And for those leading companies and according to our observation there ROE is at minimum 30%, and therefore the new players, if they can achieve 30%, it means a 10 times and for 10 years. And then maybe if we can achieve 100% ROE, and then it means that we can achieve 1,000 times growth in the next 10 years. We have already seen some new players and which can achieve 10 times and 100 times and even 1,000 times of growth over the past one decade. So we have changed our ideas for Fosun International since last year, and also this year we are going to concentrate our growth. For our growth we put more emphasis on the growth of the internal growth, industrial operation and centered on our family consumers. And we also hold that for our whole team and for all these specific domain. And in terms of growth, we have to go beyond the industrial average. We also hope that the speed of growth in each product line can be number one and number two in china, and also across the world. At the same time in respective sector, we also hope that it's a position in China and in the international markets can also rank number one or number two. Of course, this is a huge challenge for us. And if our products and services, and when we are serving these family consumers, and we really hope that they can build themselves that number one number two in the business sector. And also for our industrial business group and for each industrial business group, this is our target to take the leadership. So we will continue to achieve high speed growth in a way that more value is created. Second, in terms of strategy and we are also evolving our strategies. First of all, we talked about – see on the top, and also based on C2M, we want to really put the C end on the top. In the past, we emphasized on the product on the top, but now we put the C end on the top. Of course products are still very important. But now we want to focus more on the C end. And next about innovation, it’s not just about product innovation. And the second type of innovation is about internet-based technologies. For internet-based technologies, we are also pushing forward to the AI. And we want to use an AI to propel our internet-based technologies, it is already underway. The third type of innovation is the management and organizational innovation. And for example, innovation on the organization and also the Fission side of our organization. And also for our organization structure as well. And next globalization is still our theme. And number four, it is about in depth industrial operation, and also the industrial investment. And number five, we will continue to enhance the synergies available for our customers. So that is about strategy, and next it is about our team building. Well in 2020, we can see a lot of changes going forward, we will continue to accelerate our evolution. Then in terms of organization and team development. So we have made a lot of adjustments on the organization matrix, for example, for our industrial operation and also for our investment and function line. And we have made readjustment, and also for the product operation and also for the customer operation, we also have to provide a very solid foundation. And also for our globalization, we have acquired the international company. So we want to promote the two engines, plus two CEOs. We have a Chinese CEO at the same time, he is also the co-CEO for the international brands. So we have both international and also the Chinese CEOs in order to accelerate our evolution. And also for our industrial internet, we want to set up our industrial operation and also recruit our new talents. So for all these strategies as mentioned just now, we have to guarantee that through our organization structure. With our organization structures, next and we required talents. How can we put talents in place as measured by Mr. Pan? We need to have talent whether in China or in the international markets. If we are going to compete, we need to have talents to – or a package available for talents to retain our competitive edge. And for example, we have to continue to have the stock option and incentive and also co-investment and joint investment and also industrial synergy, and in the upstream and in the downstream. And also for the incentive mechanism, in addition to our leading staffs senior and middle level, also for the grassroot staffs, based on the value creation we need to provide an incentive in a timely manner. We want to strengthen the monthly and also weekly bonus, and also some daily bonus and we want to provide a timely incentive. And also for our partners, and also for the 271 cooperation and also competition mechanism, so that is for the talent and also the partners and also the co-amputation and also sufficient delegation of authority. We want to support the front line staff and we want to empower the grassroots. And in the past the authority has been delegation into the companies. And now, we want to encourage these companies to delegate the authorization authorities to the grassroots and front aligning employees based on their transparency, and of course, it is – the monitoring as well, so all these systems should be put into the right place. So that is the mechanism for the talents. And we are going to continue to evolve for this talent incentive mechanism. And in terms of the team development, how can we ensure agility and also war time mechanism. In order to speed up our operation, by speeding up our operation, we hope that we can be stronger in fighting and they can also grow rapidly. And also for each business, they always have a very important battles in order to become a more agile, and also they can respond more quickly, and more importantly for our customers, we can create more values to be more innovative. So all in all, we think, when it comes to the top level design strategy making and a team development for Fosun Group, there is big room for development going forward. So we have laid a very solid basis, if you look at the industrial operations, we’re more capable of making such operations. So it is believed that coming forward on a top notch level of those different lanes, we are confident, we're able to nurture and develop more front runners in each lane. Thank you. Mr. Wang – Mr. Guo, please – final concluding remarks.
Guo Guangchang: Yes. First I'd like to thank our clients, and thanks to our shareholders; and thanks to the employees and the teams of Fosun Group, thank you very much. As far as the performance and the challenges we had last year, it was the worst year. But we managed to achieve growth, so it was in the same time the best year as well. Fosun’s mission is to enable the households to lead like a happy and a healthy and a wealthy life. So we have a small objective as a matter of fact namely, we hope you can live all the way to like 121 years old, with health in mind, because health is like the cornerstone of whatever we try to do. That's why we ramp up efforts developing CAR-T and Henlius, right. We set out to cure those diseases, then the role of the surgical robots, second provision of those illnesses, right. If there is illness, we need to have it treated by the better way is for prevention, right. Like the gene therapy, genetic sequencing and a vaccine not only for this pandemic, but for tumour prevention as well, Mr. Chen, right. So if we can prevent us from getting sick is going to be the best case scenario, then happiness is also a prerequisite to health, because if we're in low mood, then you may be more liable to get sick, this is where the little bit liquor helps. And you can also take your family on a tour, for example, to go to the Atlantis, right to have fun. So both happiness and the health are very important. But without wealth, it won't cut it, because if we lead a long life and I prepare the wealth for 100 years, but I have additional lifespan like a 20 years additionally, but I have no money for that, that won't be fine. So this is where the insurance in a wealth sector comes in, right. As long as you live healthily, then there is money for you as well. So the three parts that are Group cover, we can have synergy, we enable you to lead a happy and a healthy life, and it will treat the illness and prevent the illness from happening. But how can we do that? We need a mega ecosystem. We have already built those presence in the ecosystem, right, at different industries. We have one of our products, and we have global presence, we're conducting innovation technology-wise. But there are silos, we have yet to achieve a full integration, we have yet to be able to provide a system-wide ecosystem-based services to our customers. For example, health insurance, policy buyers, these policyholders are very interested in the health management service we're able to deliver. Through our service, we want to prevent our policyholders from getting sick. If you go to Atlantis, then actually patrons can have access to have a service, right. And also have access to Lanvin products and service with some possibilities of discounting, right as a patron. So we want to provide system-wide services to our family customers, and we want to create value. So this is like the folks in martial art. We have different moves in our body that we integrate with synergy. So finally, we can create a lot of energy, people matter a lot. We aim to create a team who is powerful enough to join the World Cup and be competitive there. So I'm very happy with our core management. And our management is still improving and growing. Why we need a team with over 100 partners, because it is going to be a big pattern we're going to fight, we're going to cover more clients, we need to [indiscernible] because the start up 11, but we also have those sitting on the bench and we also have the service crew, like the coaches, the manager, as well as the shareholders. We also need those scout, who are supposed to discover those potential stars. This is really a systemic project, right, without a big team like that, then there is no ecosystem, then there is no vision that we can achieve. So those are some of the thoughts we have around our system. And finally, this is no easy job of course. So as I told my bros, all along, we need to do the right thing, no matter what it is hard to do or not, we need to do the things that takes time to accrue, just like the Chinese liquor, it takes years of time for you to come up with extraordinary and exquisite liquor.
Unidentified Company Representative: Thank you Mr. Guo and thank you to our friends. A little commercial, the jewelry is sponsored by Djula, a high end jewelry brand. Then close is the Ahava branded. Thank you. Dear investors, we have prepared working lunch for you and our classmates are going to get you to the S1 building, the B2 Japanese restaurant. So the afternoon meeting will start at 1:30. Thank you.